Operator: Good day ladies and gentlemen and welcome to the HealthStream Inc. First Quarter 2012 Earnings Call. [Operator Instructions] As a reminder today's conference is being recorded for replay purposes.
 I would now like to turn the conference over to your host for today, Ms. Mollie Condra, Associate Vice President, Investor Relations & Communications. Ma’am, you may begin. 
Mollie Condra: Thank you. Good morning, and thank you for joining us today to discuss our first quarter 2012 results. Also in the room with me are Robert A. Frist Jr., CEO and Chairman of HealthStream; and Gerry Hayden, Senior Vice President and CFO.
 I would also like to remind you that this conference call may contain forward-looking statements regarding future events and the future performance of HealthStream that involves risk and uncertainties that could cause the actual results to differ materially from those projected in the forward-looking statements. Information concerning these risks and other factors that could cause the results to differ materially from those forward-looking statements are contained in the company's filings with the SEC, including Forms 10-K and 10-Q.
 With that I will turn the call over to our CEO, Robert Frist. 
Robert Frist: Good morning, everyone. Welcome to our earnings call. We have got a lot of exciting and interesting things to cover this morning and Gerry and I will be conducting the call, ready for your questions at the end of a short business update. So first I would like to cover some of the financial highlights.
 The consolidated revenues were up 28% to $23.7 million, which is a record during the first quarter of 2012. That’s compared to $18.5 million in the first quarter of 2011. Sales for the first quarter set a record for that period which resulted in higher commissions but certainly incredibly strong sales results, this should power results as we look forward in to the near future.
 Operating income was $2.3 million for the first quarter of 2012 compared to $2.6 million in the first quarter of 2011. And our operating income was impacted by the cost of our annual customer summit which we held earlier this year than in prior years and we invested a little more than we have historically. But we got an absolutely outstanding result out of our customer summit in the first quarter.
 Net income was $1.4 million for the first quarter of 2012 compared to $1.5 million in the first quarter of 2011. And adjusted EBITDA improved to $4.1 million in the first quarter of 2012, up 8% from $3.8 million in the first quarter of 2011. Gerry in a moment will take a deeper dive into the numbers but on the surface, very strong revenue driving revenue growth that makes us look forward to the rest of the year.
 On business updates, we added approximately 40,000 new subscribers that were contracted to use the Learning platform during the first quarter of 2012, which is in the target range of 20,000 to 50,000 that we have stated consistently. The total number of contracted subscribers is now approaching 2.8 million. It’s about 2.79 million under contract, which represents well over half of the nation’s hospitals and healthcare workforce in the hospitals.
 Currently we have a backlog of 130,000 in the queue for implementation. Implementation, that once implemented subscribers, we began recognizing revenue. So we are excited to have a strong queue to begin working through here in the second quarter. Approximately 87,000 new fully implemented subscribers were added to the Learning platform during the first quarter. So you can see a real acceleration in adding subscribers or implementing and activating those accounts and those subscribers. And so now we have 2.659 million healthcare users implemented. And implementation is an important milestone because that’s where we began revenue recognition for those subscribers.
 Renewal rates for the first quarter were 96% based on subscribers and 102% based on contract value. And our renewal rates reflect the addition of subscribers compared to previously contracted amounts. Combined with the new pricing adjustments, they may occur at renewal. As you have noticed though, we have added a renewal metric that began in our year-end earnings release in order to develop a deeper understanding of our renewal trends. We added a trailing four quarter recap in addition to the current quarter description of renewing subscribers in contract value. We feel that one quarter’s renewal statistics combined with the trailing year’s results is more indicative of the renewal trends underlying our business. For the trailing 4 quarter period ended March 31, 2012, customers representing 97% of subscribers that were up for renewal, renewed. And our renewal rate based on contract value was 105%.
 For the first quarter of 2012 revenues from our patient surveys which is the recurring revenue product, increased 13% over the first quarter of 2011. And the HCAHPS scores are important, that’s the nature of those surveys because healthcare providers are directly tied to the CMS value-based purchasing program and the HCAHPS scores are approximately 30% weighted in the value-based purchasing scoring system. Payment begins under that program on October 1, 2012, which is a driver for this business as the metrics we have been collecting become actually used in the calculation of their value based purchasing score. So the October 1, 2012 is an important date for the actualization of CMS’s value-based purchasing program.
 There are many new drivers for growth underlying an exciting quarter of product releases and product announcements. And we want to cover some of those drivers and talk about how those trends impact our business. Many of our products are driven by regulalatory drivers like OCA, the safety and regulatory training, HIPAA, the privacy practices, HCAHPS, the government survey for patient engagement and satisfaction, the joint commission it’s auditing. But a new driver for growth that we have been talking about a bit was the shift -- CMS’s decision to shift to a new coding system in healthcare. The ICD-10 coding system.
 CMS recently announced that the new deadline for this transition is October of 2014, which is about one year later then the date originally set. And although it’s been delayed from what we originally had anticipated, we believe that this one year deferral will continue to be a steady driver for the training solutions related to the ICD-10 migration. And actually I think our sales teams believe that this gives our customers a little more time to get ready but still leaves that ultimate adoption driver out in front of us in October of 2014. So we expect now with clarity on that date and time to see an uptake in the ICD-10 training product offerings from HealthStream and our partners.
 So we were excited to see CMS clarify that deadline and also that the delay was only about 12 months which we think again gives us more time to sell and our customers more time to get ready but leaving the ultimate driver in place. We think this is a positive.
 So several of our R&D efforts over the prior year came to fruition in the second quarter with several successful product launches in Q1. One of the most exciting is under our SimVentures program, where we launched SimManager and announced the SimView product sets at the international meeting for simulation in healthcare early in the quarter. And we did some press releases on that exciting product set. Those 2 announcements round out the efforts of our SimVentures bringing a completeness to the software suite of SimVentures, and represent over a year of research and development. So we are excited to get those in the marketplace and begin selling them towards the middle of the first quarter.
 Also in January we launched 2 new Physician Insights surveys to complement our traditional medical staff surveying. Those new surveys allow our hospital customers to obtain input from 2 different sectors of the physician community. Referring physicians, who actually refer to a hospital but do not regularly admit patients and employed physicians who actively refer to a hospital but do not regularly admit patients, and employed physicians who are employed by a hospital or a healthcare system. And so the employed physicians and referring physicians are the targets of the new Physician Insights surveys.
 The additions of these 2 physician surveys expands our offering to hospitals and provides them with a more comprehensive insight from the important segment of their workforce, the physicians that they drive the revenues for the hospitals.
 Also in March we announced the launch of HealthStream Performance Center. This is an exciting and innovative -- of course it’s software as a service based performance management solution. It’s targeted again towards the hospitals. The performance center automates and takes a paper process and makes it paperless. And so it automates the workflow and converts a heavily paper intensive process of the annual reviews for employees and makes it a paperless process. It also of course is built right upon an inside and completely fully integrated with the core learning platform so it leverages our market position with our learning platform. So we are very excited that towards the end of the first quarter to announce and launch in March, the HealthStream Performance Center.
 So you can see that with several successful product launches we incurred new investments to ramp up underneath those and get ready for selling them. Delivering 8% sequential revenue growth, $23.7 million, that’s 28% year-over-year. And these successful product launches position us well for the remainder and into next year.
 Some other things that happened during the quarter. We saw content sales really take off which is really exciting. One of the drivers for growth during the quarter. We had talked about the NRP Exams in prior calls. The NRP Exams became our required gold standard exams, and those became -- they were exclusive through our platform and became available really towards the end of last year and we saw a surge in purchasing on the NRP exams throughout the quarter. One of the drivers. So it results in a slightly lower gross margin but a strong contribution to EBITDA and cash flows as content sales took off with products like the NRP Exam.
 We invested a little more in the quarter in product development and personnel through contract labor which is a little more expensive than full time labor, while we tried to catch up with hiring during the period. So again we view this as a positive investment. We wanted to keep pace with product development and growth adding in all the key areas in the company. And as we have noted in the last few quarters were were a little behind our hiring schedule and so we put in some contract labor in the quarter in an effort to keep everything moving forward and keep up with this exciting growth rate we are delivering. And so we think it was a wise investment. We will work hard in this quarter to catch up on our hiring and then manage contract labor.
 During the quarter we did achieve record sales. And again as I mentioned earlier, that resulted in a little higher commissions, but again if you have an expense like commissions that are a little higher than maybe you expected due to record sales during the quarter, we think that’s something to celebrate. And given the nature of our business, gives us more future visibility into our revenues in the future.
 And then finally, we reiterate our growth expectations for the year. And, so we were excited that we feel on track and strong in our targets for the full year. And so what I am going to do now is turn it over to Gerry and let him reiterate those guidance expectations and cover a little more detail with finances. Go ahead Gerry. 
Gerard Hayden: Thank you, Bobby, and good morning everyone. I’ll make a few brief remarks so we can save time for questions at the end. And the first things once again as Bobby mentioned, we think it has been a strong quarter, record revenues, record sales for the first quarter. If you look at our growth rate, it was 25% on our recurring product revenues. Some one-time revenue sources such as summit registration fees pushed that up to 28%, but by either measure we are very encouraged by the momentum in our revenue growth. And once again, by either standard it was a record quarter for us.
 There are key 3 key items affecting the comparison between the first quarter of this year and the same time period last year. Those include summit, contract labor which Bobby mentioned, the equivalent shares outstanding. I will try to give a little more color on the impact of some of those different measurements. But first of all on the summit as you saw in the press release, our investment in summit increased our expenses by about $520,000 in the first quarter of 2012. And as you may already know the summit was in the second quarter of 2011, so there is a little bit of a timing difference between the 2 years. But if you take that $520,000 of incremental expense for this first quarter versus last year, if you apply the 40% effective tax rate for the first quarter and the outstanding shares for the first quarter, the summit had an impact of about a $0.01 per share on the results.
 Bobby mentioned contract labor and we have discussed that in previous calls. And during the first quarter as he mentioned we did have some higher contract labor while we continue our search for the appropriate full time candidates. So that was another fluctuation in our overall results. The equivalent share count using calculated earnings per share, has increased since the first quarter of 2011. The primary reasons our equity offering we did back in November of last year, in which we increased -- issued approximately 3.6 million shares to the public. Accordingly the increase in share count was about 19% since last year.
 So although the share count was higher because of the offering, we still think it’s necessary to point out it’s comparative impact on this quarter’s results. If you take this quarter’s $1.4 million of net income plus the summit impact we just discussed a few seconds ago, and divide by last year as $22.9 million shares of equivalent shares, the earnings per share of that quarter would have been approximately $0.08.
 Our cash position continues to grow. Cash in investments as of March 31, 2012 were $91.6 million versus $89.5 million at year-end 2011. This strong cash position coupled with a no debt on our balance sheet leaves us well positioned to capitalize on a broader range of growth opportunities, whether it be acquisitions or core expansions.
 We continue to be active in sourcing and evaluating acquisitions, but as we mentioned in the past, we are mindful of both strategic fit and valuation. And we will continue to update you on our M&A progress as 2012 continues.
 There has been a lot of interest in SimVentures. I want to take a moment to try to explain our reporting structure for this entity. In terms of the accounting principles or GAAP, the SimVentures approach is known as a collaborative arrangement and there are several publications defining its use and requirements. It is very common in the pharmaceutical industry where R&D arrangements combine the marketing and distribution which is very similar to our business model with Laerdal.
 Perhaps the best way to describe the [indiscernible] joint venture is to contrast it with more conventional notions of the joint ventures related to accounting. First, similar to establishment of traditional joint ventures that there is no separate corporation or legal entity, the venture is a contract between the 2 parties. Second, for a variety of reasons including consolidation and revenue recognition, joint ventures usually establish one party as a majority owner. Majority owner then consolidates the entity for financial reporting while a minority owner typically uses the equity method of accounting for his pro rata share of operating profits or losses, which some folks will call a one line consolidation.
 As you know SimVentures is owned 50:50 by us and Laerdal. So if we were to apply the conventional notions of accounting framework, we would have no recognized revenue but still we get a share of operating profits or losses. This is where the collaborative accounting guidelines create different reporting requirements and require each joint venture party to recognize revenue. The nuance to describing what that recognized revenue represents.
 And here is the next contrast with traditional financial reporting. Recognized revenue usually pertains to the sales of the products and services that are provided to third party customers. The SimVentures, it represents both any sales we have made to customers plus our share of expense reimbursement and pro rata operating profit generated by SimVentures which is attributable to us. In addition to sales it is the amount that which we need to recognize revenues to offset the SimVentures expenses in our income statement and report our appropriate share of operating income. Hence it’s pretty similar to a cost plus reimbursement approach you might see in different settings.
 So to summarize, we remain encouraged by SimVentures’ progress. It is also generating positive EBITDA for us as of right now. So we feel very good about that. Finally, as Bobby mentioned, in our guidance. We reiterate our 2012 annual guidance which we published just a little while ago. Which says, we expect to see revenues grow between 20% and 25% and operating income to also expand by 20% to 25% over 2011. Our expectations on effective income tax rates and capital expenditures remain consistent with our earlier published guidance. In particular we expect a book income tax rate between 39% and 40% for 2012 and capital expenditure between $8 million and $9 million. Thank you. 
Robert Frist: Thanks, Gerry. I will close with a few comments and then we will go straight to questions. A bit about our summit. We made a large investment in summit which we think was an extraordinarily worthwhile and is a very exciting event attended by many of the analysts on this call. We had over 600 attendees and 40 prospects in the audience this year. And so we are excited about what this event does for us in our sales pipeline as we move forward.
 Over 60 sessions were offered along four different tracks of leadership, strategy, quality, education and human resources. And were led by many of our customers. We also do active research and development and so this is a product development initiative during the summit. Bringing a core group of our developers over 50 of them to interact directly with customers on product design and innovation.
 So the week of summit is an exciting time of both selling, educating and conducting product research. And while our investment in this event is great, I can't tell you how excited I am to have made it. It seems like exactly the right thing to have done and a great celebration by customers and informing our product road maps into the near future.
 Also during the quarter, a shout out to all of our employees at HealthStream. We were chosen as a finalist, the winner of the Best of the Best award by the Business Journal here in the city. And companies who have 1 to 500 employees, we are building a strong performance oriented culture that is really being recognized in our peer groups as one that can excel and deliver great results to shareholders but also strong in our communities for contributing back and being part of the local economic growth.
 And so it’s with great pride that I commend all of our employees for achieving this best of the best selection in a local business journal here in the city. And then finally, I would like to invite everyone and remind you that our annual shareholder meeting will be held on Thursday, May 24 at 2 p.m. here at our offices in Nashville, which is an incumbent station here in Nashville. So Thursday, May 24 at 2 p.m. we will hold our annual shareholder meeting and welcome shareholders to attend and participate in that event as well.
 With that said I would like to turn it over to the audience here for questions. 
Operator: [Operator Instructions] And our first question comes from Ryan Daniels of William Blair. 
Ryan Daniels: I am hoping to follow up on a few things on the margin front. Just first I want to make sure I understand the summit cost correctly. Is the $520,000 a net cost, so on top of the revenue you received? 
Gerard Hayden: Yes, Ryan, it’s Gerry. That is the net cost. And that’s net of the fees and the expenses. 
Ryan Daniels: Okay. Do you have the actual cost for the summit? I am just trying to get a better feel for the sales and marketing line. Obviously those costs are somewhat transitory in nature. Probably closer to maybe a $1 million or so. Is that a fair way to think about that? 
Gerard Hayden: Yes. $850,000 to $875,000. Yes. 
Ryan Daniels: $875,000? Okay. And then as we think about the gross margin structure going forward. Given the very strong content sales you have had, that’s obviously great as it’s driving up the lifetime subscriber value but it does pressure gross margins a little bit. I am curious if you think maybe a 60%, 59% gross margin is a fair target for this year as you look forward. 
Gerard Hayden: Well, we didn’t guide on the gross margin line but they have been historically stable in the 60% to 64% range. I know that’s a lot of movement for an analyst to swallow. But as you know Ryan, it depends on the relative movement within the implementation cycle of the higher gross margin platform products with the lower gross margin content sales. And so during this quarter, the mix of revenues and the growth rates for content kind of had a nice surge and we mentioned some of the reasons why. But we are still encouraged by the platform potential and have a lot of new platform components that have higher gross margins. So it is one of the hardest lines to look forward on because it is the relative growth rate and relative mix that moves it around.
 But you can see, I mean we have been in the 60% to 64% range now for, gosh, for years on end. And so we think history is the best indicator for our performance into this year. 
Ryan Daniels: Okay. That’s helpful. And then maybe a follow-up to that one of the new platforms that you launched I guess formally, would be the competency center. And I am curious if you can talk a little bit more about that. I know you officially launched it at the users Summit and I am curious kind of what kind of buzz came out of that. And then maybe more specific to you could address, how that’s being marketed to new and existing clients. Is that a newer sales team or is it existing account managers trying to get clients to turn that platform on? 
Robert Frist: Yes. So we have added some new structure to our sales organization as we entered this year. Adding a talent team that focuses on selling into the HR portions of a hospital. They will be taking the new HealthStream Performance Center and the HealthStream Competency Center into the market. Again, calling largely on the VPs of HR. So we have a new group of experts that sell our talent oriented products that target the VPs of HR in hospitals. And so that new product, one is oriented towards the annual performance review cycle, that’s the performance center. And the other is for clinical maintenance of competency, which is targeting a little more to the clinical staff but has slightly different tool sets to help track and maintain the clinical competencies of staff.
 And so both of those products will be sold in. Interestingly they can both be sold in to either the VP of HR or the Chief Nursing Officer. And so -- and the products are highly similar but they have differentiating capabilities and we position them carefully to have clear messages about both. One around the annual performance cycle and automating or making that paperless, and the other about the detailed process of documenting the competencies of the clinical staff. 
Ryan Daniels: Okay. That’s very helpful color. And then last one, a quick one and I will hop off. Just curious on the sales force investments. I think you said, last quarter there might be more hiring in Q1 than is typical. Have you filled most of those positions or are there still some outstanding as we look forward on the sales front? 
Robert Frist: Yes, we will always have a few open and we are looking to post a few more here in the very new future across the company, given the strong revenue performance of Q1. We are a little behind our hiring expectations both in Q4 of last year and Q1 this year. And in order to not let that effect our product development and growth and sales, we went ahead and used some contract labor in some of those areas like customer support and product development. And so we will have to manage that downward as we catch up in hiring. And we do expect -- I think on our website now, I think we have close to probably 18 to 20 open positions. And we are looking to post another set of positions given the strong revenue performance of the first quarter. So you can watch that to see the mix. You will see some additional sales positions posted here in the next several weeks. 
Operator: Our next question comes from Matt Hewitt from Craig-Hallum Capital. 
Matthew Hewitt: First question from me is that project based revenues were particularly strong in the first quarter. And I am curious is that where the fees related to the Summit hit or was there other projects going out in the quarter? 
Gerard Hayden: Yes, Matt, it’s Gerry. That’s where you will find the summit fees. There is also one other project based set of revenues in there as well. 
Matthew Hewitt: Okay. And then I am wondering if you could provide a little bit of color on some of the new products that you rolled out at the summit. If you could give us an early indication of adoption since their launch. 
Robert Frist: Yes. I would say it’s too early to talk about adoption but interest levels I would say are good and pipelines are building for each product. And so we saw good pipeline development. It’s is probably the best way to characterize these products that are less than 60 days old. And we do have actually a couple of initial contracts on each. So small but exciting interest and a developing pipeline is the way I would characterize where they are today. 
Matthew Hewitt: Okay. That’s great. And then I guess, is there any way that we can -- and I realize this is probably not easy but can you quantify how much of the contract services, the impact was in the quarter? 
Robert Frist: You mean the one time revenues? 
Matthew Hewitt: No. The cost associated with some of the contract employees that you brought in? 
Robert Frist: No. We can't. It’s just spread in lots of little pockets. And largely we just authorized it so that we could fill some of the open, the needs in certain areas of product development. I will tell you that in general, it was in product development kind of R&D areas. We wanted to see it keep moving forward while we try to hire some more into our tech teams. And again, largely you can track our labor plans by looking at our open positions on our website and their changes quarter-to-quarter.
 And what we did was we invested in R&D and customer support areas. And in some implementation areas you can see the backlog is really strong and we like to get through that backlog to get to the revenue recognition. So kind of used contract in a lot of areas. And we had to process a lot of contracts because of the surge in the NRP adoptions, so a little temporary help in accounting to process just a whole new level of contract load in our department. And as we smooth out our systems to process those things we will be able to manage those expenses. 
Matthew Hewitt: Okay. Fair enough. On the research side, another strong quarter in the HCAHPS surveys. I am wondering should we anticipate a normal seasonal bounce for the other survey business here in the second quarter, given that we are a few weeks in. Any guidance that you could give us would be helpful. 
Robert Frist: Yes. So you are right to note that the core recurring revenue components of research are performing fairly well. It is about 13%, was the growth rate. So we would like to see it little stronger but it is recurring and multiyear contracts driving that so we are pleased with that. We would like to see it to be a little higher. The elective pieces, I would say I have a little less confidence in and I would like to see them do better and we are of course meeting to figure out exactly how to get those back on this growth trajectory that we would like to see.
 And so I think what we are focused on, if you think of it in order of priority, is the recurring subscription business, the HCAHPS business and the patient business. And we see that actually performing well. And then secondarily, the non-recurring or less predictable. We are working on that but it’s a little lower priority and a smaller piece of the business. 
Matthew Hewitt: All right, fair enough. And then I guess last one from me. The last couple of quarters I think you have talked about maybe providing some formof an average revenue per user, some type of metrics to help understand it. Obviously, we can see it in the main number, the learning research or learning content number was up smartly. But I am wondering if you could provide some type of an average revenue per user or some metric to really help quantify the adoption of these extra content pieces? 
Robert Frist: Yes, we were working on that and got really close to doing that but then we saw the surge in content and it effected -- when we looked at its impact, it wasn’t giving the right -- we have to keep working on the formula and figure out how we are going to report it. Is it trailing average or moving average and so we just still haven’t quite figured that out. We saw such a surge in the content consumption that it moved the metric around in a way that didn’t we think communicate properly. And so we are still working on refining that metric. I think the easiest proxy for now would be to take the Learning revenues minus the onetime events and then of course divide it by the number of implemented subscribes. You are going to get pretty close there without breaking down in great detail the difference in content and platform, but you are going to get a really good number just doing that. It’s pretty simple to do. We are working on whether it’s a trailing moving average or a quarter-to-quarter and we just haven’t quite figure out how to communicate that the way to want to. So we think just using that broad strokes, top line Learning revenue minus some of the project revenue divided by the number of subscribers is a pretty good proxy -- the implemented subscriber base. 
Operator: Our next question comes from Richard Close from Avondale Partners. 
Richard Close: Yes, just a follow-up I guess on that last question, Bobby. So with respect to the content sales, they wouldn’t be attributed to a specific subscriber. Correct, and that’s why you are saying it might skew that metric a little bit. 
Robert Frist: Well, one of the things that happened was a full year of demand on the NRP products was experienced essentially in one quarter. And the way we were doing the metrics would have annualized that impact instead of kind of its rightful quarterly impact. And so we didn’t like the way that was being calculated so we decided to back off on the metric. But, so we had a real strong performance with that NRP and essentially got the year’s adoption under contract very rapidly in December, January, February and March. And so it had a large impact on the content revenues in the quarter. And so we expect that to be representative of the annual demand but spread out more over the year. And so again there is opportunities like that for kind of events still to drive that metric and so we didn’t like its approach. 
Richard Close: You mentioned, on the, I guess Patients Insights, up 13%, but you would have liked it to be a little bit better. If I go back to the fourth quarter report, I think when you guys gave guidance on the research revenue you talked about a target of 15% on the surveys, the recurring surveys. Is that correct? And is there any timing, seasonality or anything like that in the survey business with respect to the recurring part of it? 
Robert Frist: No. There are some elective components, meaning the size of the samples that hospitals choose to take. There is a minimum requirement and they can sample at higher levels if they want to or we encourage them to. So there is that nature of elective. I mean there is a minimum sample size per hospital but they can elect to do more. What we see is a strong, a good pipeline on those patients surveys and so we feel good about the reminder of the year. And hope to see that we can move that 13% upward. 
Richard Close: But it was 15% that you guys were targeting, if I remember correctly. 
Robert Frist: I think we gave blended numbers for the whole research unit, not by product line. 
Richard Close: Okay. And then when we think about the physician products that you referenced in your commentary. Are those recurring in nature as well and maybe just describe those a little bit more so we get an idea of how that flows through the income statement? 
Robert Frist: I think the ones that I mentioned in today's call are not as recurring. They are kind of staff employed physicians and referring physicians so they are not of the same nature of the HCAHPS program which are recurring. I should note though that an area of growth we talked about in the prior call is the CG CAHPS. The clinicians and groups CAHPS. Which is surveying the patients of the physician office instead of surveying the patients of the hospital. We feel this opportunity is more open, meaning unpenetrated in general across the market space. And an area where we see good growth coming as we sign up our enterprise accounts to do their CG CAHPS survey in addition to their HCAHPS survey. By its nature it is recurring and is part of the CMS programming on a go forward basis. 
Richard Close: Okay. And on Performance Center. Can you walk us through the revenue model on the Performance Center? Is that an annual subscription that you recognize over the course of the year? It sounded as though you know some of the products would be the year-end performance review. I just want to make sure that that’s not like a fourth quarter event or something? 
Robert Frist: Great. No, that’s a good point. Actually if you think about it, SimManager, Learning Center, Authoring Center, Performance Center, Competency Center, our new resource centers and other product we are working on, all of those are annual subscription based products. That regardless of the rate of use during the year they are build and contracted for ratably over a multiyear period. And build and revenue recognized ratably over those periods. 
Richard Close: Okay. And then just one final one for me and I will give Gerry a chance here. You obviously called out the first quarter impact on the summit. How should we think about the year-over-year comparison on the second quarter now that the, you know summit is not in the second quarter of this year as it was last year. Should we see improvements on a percentage of revenue of sales and marketing in the second quarter year-over-year? 
Gerard Hayden: Yes, we tend to not give blind guidance but I think as a general concept you could assume that the expense of Summit won't be in second quarter, so that would be one adjustment you will consider. 
Operator: Our next question comes from Frank Sparacino from First Analysis. 
Frank Sparacino: Just 2 questions. First is on the NRP. Is there any seasonality to that business, Bobby or Gerry, could you just help me understand how you sort of project, if you can at all, that business taking off at the beginning of this year. 
Robert Frist: No. What happened was there was a moment where everyone needed to sign up, when the exam went exclusive on our platform. So there was kind of a rush to sign up. But it’s consumption and demand curve should be spread fairly evenly throughout -- from here forward. So there was kind of an inflection point of everybody moving to your platform across the country which is very exciting. Now that they are there, we expect to see the consumption patterns which I think we had identified up to about 200,000 tests a year being delivered. We expect those to be spread over time fairly evenly and constant in the years to follow. 
Frank Sparacino: And just following up on that Bobby. What is the price per test? 
Robert Frist: I believe we have communicated in the $15 to $20 depending on volume, per test. 
Frank Sparacino: Okay. And then lastly, Bob, you referenced this I think in your earlier comments around the VVT program taking effect this year in terms of the actual payments. I know in March CMS released, I believe some initial results of the hospitals that haven’t been made public yet. But I am curious as to, was there any sort of fall of from that, good or bad, in terms of the hospitals you have seen. Where they were at, at this stage? 
Robert Frist: No. I would say like a lot of these things though there is a wakeup call and unfortunately some hospitals get behind in their recognition of the impact of these things and so they kind of have this rush to try to figure out how to respond to it. So I would say when these changes hit, there is kind of a surge, obviously an interest in execution and not everyone is as proactive in getting ready for the impact of these type of changes. They thought about it but they may not have changed their processes and systems and it becomes more and more real as these deadlines approach. So it’s more kind of what I would call the natural absorption curve of such a change and the reaction to it.
 People have been collecting and submitting the data. I think they are generally comfortable around the core measures data. Like they have their processes in hand and have been reporting them for a while, the clinical performance side. And they feel like they either understand those or understand how to manage the risk in those areas, or they know they need to get help. On the HCAHPS which is 30% of the waiting, I would say that everyone is now searching for strategies to improve it. Mixture of marketing strategies, human capital strategies, process improvements, training approaches. What I would say is that it’s just kind of a wakeup call and makes it more real each month as we advance towards that deadline. 
Operator: Our next question comes from Vincent Colichicco from Noble Financial. 
Vincent Colicchio: Bobby, I am wondering if you can give us an update in terms of the HLC. What kind of progress you are making in terms of marketing to ancillary facilities? 
Robert Frist: Good, Vince. We see some of that. We hope sometime during the year to start to breakout some of the areas we are receiving good penetration. When hospitals affiliate or acquire in these other verticals like we always mention the same 4, or 5, but long term care, home health, behavioral health, surgery centers, rehab hospitals. And so it’s fair to say. The other thing we see is the hospitals doing is extending the platform out to their physicians groups and so we add subscribers in those areas as well doing physician education portals for large health systems. We see them adding in the volunteer workforce that they didn’t use to cover. And so they will extend the platform to cover the volunteers and so we can see kind of same store growth, if you will, or same customer growth, as they expand and reach into those areas. We haven’t broken it down yet by vertical but in the subscriber number, the nearly 2.8 million, it’s a growing mix across the core employees, the extended enterprise as we call it, the volunteers workers and the physician groups.
 So we think it’s an encouraging trend and what we need to get our hands on is how much that expands the opportunity by. Because the payroll of employee population, depending on whose numbers you use, is between that 5 and 6 million. But the volunteer workforce, the employed physicians, the affiliated physicians, kind of extends the opportunity as does long-term care home health and behavioral health. So we hope during this year to help clarify more of that opportunity and how we are grabbing it and it’s safe to say each quarter we are adding a little bit in each of those areas. 
Vincent Colicchio: That’s helpful. And one last question. My others were asked. On the competitive environment for both learning and research, any changes there? 
Robert Frist: No, I would say the competitive pressures continue. They are consistent and ongoing. We have seen some M&A activity in the talent management space with both SAP and Oracle acquiring key companies Taleo and SuccessFactors. So we have seen some movement in the M&A front. We don’t view that as changing materially to us. It’s like their shareholders change but the product set to who we compete with is very similar. And on the research side, it’s really the same core set of 5 or 6 competitors. 5 or 6 total. Same ones we have been working against in. Everybody is working to find their spot in the marketplace and so it is a competitive environment in both areas. 
Operator: Our next question comes from Nick Halen from Sidoti & Company. 
Nick Halen: I apologize if I missed it, but do you guys have any updates on the HCAHPS Monitor application. And I guess where are you guys are in terms of rolling out any additional applications I guess more tied to your core platform. 
Robert Frist: Great question. The HCAHPS Monitor, I don’t have the data in front of me. It’s a free app used mostly for marketing and relationships of executives. So we probably need to see how that’s being downloaded. And I don’t have that number in front of me. But it is a free app and not expected to generate revenues. On the platform side, we have built and demonstrated a new mobile app that’s core to our platform called HealthStream Tasks. We are letting customers see it but we haven’t worked out the economic model around it yet to release it. So we are letting people see it. It is developed and ready to go. We are trying to decide how it mixes in and what parts of it we may or may not charge for. So we are well into our mobile strategies but we are working out kind of our economic and marketing launch plans. 
Nick Halen: Okay. Great. And then just lastly, in terms of the renewal rates, I mean obviously they are still very strong but they were down a little bit year-over-year. I was wondering how we should look at that going forward. And I guess what in your opinion are sustainable renewal rates? 
Robert Frist: Yes, so, I don’t know. We hope they will continue to be in this exceptional category. I think I have always said now for 5 years that a good subscription business will be 85% to 90% renewal rate and excellent one is above that. And we have had excellent results. We feel that it’s maybe more natural as competition continues that you may move in that range between the 85% and 95%. We have been fortunate to stay in the 95% plus category pretty firmly with only a few quarters dipping into the high 80s. So we think that’s a very sustainable range, above 85% up to 100%. We have been fortunate to be at the high end and expect and hope to continue to maintain that.
 But I would say that a good subscription models are easily maintained with rates as low as 85%, that’s why I have put 85% and above as good, and 90% and above as excellent. And I just -- we intend to throughout the year and see no reason to believe we would dip below that excellent range that I just gave. 
Operator: Our next question comes from Richard Close from Avondale Partners. 
Richard Close: Yes, just a quick follow-up. You have been updating us consistently on the basic life support penetration. Any update that you can give us there would be great. Of the $60 million opportunity I think you said. 
Robert Frist: Yes. Fair question. We only provide an annual update on that product line and we will probably do the same this year. But it’s a core part of our budget planning process and core part of our revenues and so I think the easiest way to reflect that in kind of all this mix of expectations is that we are reiterating our strong guidance expectations of 20%-25% organic revenue growth, and 20% to 25% operating income growth. So I think with the reiteration of guidance you can feel and sense that our major products are tracking as expected. 
Operator: [Operator Instructions] And our next question comes from Matt Hewitt from Craig-Hallum Capital. 
Matthew Hewitt: One follow-up from me and along a similar line. The HeartCode product, given that you got that 2 royalties to pay, is it safe to assume that that you had a strong Q1 for that product and that may have impacted the gross margin line to a degree? 
Robert Frist: It’s a fair question. And some of the costs we identified like just our absolute commission cost because of, again, record sales, order value is one area. But in the content areas, we don’t break it out by segment but again the major products are on track. We did have kind of a little exceptional period with the NRP Exam that we have been talking about for several quarters. We did in fact see that adoption occur. And it’s fair to say that the product that you mentioned, the HeartCode products have a lower overall margin for us given that there are American Heart and Laerdal and HealthStream are involved in that product together. So of our content products, that one in particular tends to have a lower gross margin for us. 
Operator: Our next question comes from Walter Ramsley from Walrus Partners. 
Walter Christopher Ramsley: I have a question about the Summit conference. The SimVentures exhibit there, could you just describe for us what sort of response that had. Was that like a really popular affair or just kind of normal, or how did that go over? 
Robert Frist: Well, we had several different themes throughout the conference and simulation was one of the most exciting ones. We had incredible line up of speakers in that area that attracted a lot of national attention. In fact, part of our summit we believe will be covered on television soon. On May 1st. The Learning Channel, The Little People. We had one of our guest speakers featured on television and will be -- at least we believe shown as participating in our summit. The general, the booth was well received and the product sets are generating excitement in the marketplace. The primary launch of that product that IMSH was in my view was one of the best received launches at that entire convention that attracted nearly, my understanding is nearly 3,000 people. And so overall we are really excited about where that product is in this trajectory. 
Walter Christopher Ramsley: So in general are the customers still kind of trying out the technology or have they begun to really implement it full blast? 
Robert Frist: Yes. So the first wave of adoption of technologies for simulation is around the BLS products, which is a simpler form of adoption of the technology. They are called task trainers. And you can clearly see that’s delivering results last year and into this year. The higher end simulation is part of our 3 and 5 year road map and we are building out the complete suite of products, so what I would say is that we expect steady and continued growth in that product. We are early in the adoption phases of that form of technology. The higher end, high fidelity trainers. But we have the leading products and the leading partners in that area of growth in healthcare.
 So I think I would characterize it as early in the 3 year adoption curve and not something that is explosive on the first quarter and the second quarter after launch. But definitely I would characterize it as the future and us having the leading products in the category. 
Walter Christopher Ramsley: And then just one last thing. With that sort of uptake already have either competitive companies that you are aware of that will kind of come after you. 
Robert Frist: There are. In the competitive landscape would be companies like CAE and a company they acquired called METI. They have strong products and they are a good competitor. However, with Laerdal as our partner and the market share HealthStream has in the acute care facilities in the U.S., we feel well positioned to compete with CAE METI. 
Operator: Thank you. I show no further questions in the queue and would like to turn the conference back to Mr. Robert Frist for closing remarks. 
Robert Frist: Thank you for your questions. We look forward to reporting the second quarter and congratulations again to our staff in achieving record top line revenues and operating results for the quarter. So congratulations and thank you. See you next quarter. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may all disconnect.